Operator: Good morning and afternoon, ladies and gentlemen. Welcome to the OceanaGold 2022 First Quarter Results Webcast and Conference Call. [Operator Instructions] Also note that the call is being recorded on Thursday, April 28 at 5:30 p.m. Eastern Time. And I would like to turn the conference over to Sabina Srubiski. Please go ahead.
Sabina Srubiski: Thank you very much, operator. Good evening and good morning. Welcome to OceanaGold's First Quarter 2022 Results Webcast and Conference Call. I am Sabina Srubiski, Director of Investor Relations for OceanaGold. I am joined today by Gerard Bond, OceanaGold's new President and CEO; Scott Sullivan, Chief Operating Officer; Scott McQueen, Chief Financial Officer; David Londono, Executive General Manager, Haile Operations; and Sam Pazuki, Senior Vice President, Corporate Development. Before we proceed, please take note that references in this presentation adhere to International Financial Reporting standard and all financial figures are denominated in U.S. dollars unless otherwise stated. Also, please note that the presentation contains forward-looking statements, which, by their very nature, are subject to some degree of uncertainty. There can be no assurances that our forward-looking statements will prove to be accurate as future results and events could differ materially. I refer you to the disclaimers, including those on the forward-looking statements in our presentation.  I will now turn the call over to Gerard Bond.
Gerard Bond: Thank you, Sabina, and good evening, good morning to everyone. It's a great pleasure to be here with you today for what is my first quarterly webcast. Although it's early days for me as President and CEO of OceanaGold, I'm thrilled with the opportunity to lead an extraordinary organization with a highly talented workforce, quality assets and a really exciting growth pipeline. I'm actually making this call from New Zealand, being spent time in the last 2 weeks at both of our operations here and meeting the teams at both sites. I'll be visiting Haile and Didipio over the course of the next few weeks as well as meeting our major shareholders. OceanaGold has a strong and excelling foundation that I will seek to build upon and together with the management team and all the tremendously committed people here -- work to take the company to new heights. The strong first quarter of operational and financial performance is certainly a great starting point. and I'll walk you through some of the key highlights of the quarter. The company is off to a great start for the year with a safe delivery of record quarterly revenue and record quarterly EBITDA, which powered strong free cash flow generation, which is one of my key focus areas. This strong free cash flow generation allowed us to significantly reduce our net debt, improve our key leverage metrics and strengthen our financial flexibility. Operational performance in a period of strong gold prices was clearly a driver of the financial performance with Haile delivering a record quarter of gold production, demonstrating another quarter of operational performance improvement by the Haile team. The Didipio completed its ramp up ahead of expectations, achieving full underground mining rates in March, leading to strong gold and copper production for the quarter. This is an incredible achievement for an operation that only review million 6 months ago. Finally, in New Zealand, while Macraes delivered a steady quarter for production, we experienced challenges at Waihi relating to under reconciliation and COVID-19 related workforce disruptions following the New Zealand government's easing and restrictions. Scott Sullivan will speak more to this later in the presentation. The health and well-being of our workforce is of paramount importance, and it was really pleasing to see the continued reduction in the total recordable injury frequency rate. Our goal, of course, is zero fatalities and zero injuries. and our leadership and workforce are equally committed to achieving this. The safe and healthy workforce is a productive workforce. The company produced 134,000 ounces of gold in the quarter, which is 26% above the previous quarter and around 60% above the same period in 2021. The return of Didipio to full operation reestablished the company as a copper producer. And in the quarter, we produced 3,500 tonnes of copper. The company produced gold at a cash cost of $630 per ounce, which is well below the previous reporting periods. Our all-in sustaining cost was $1,084 per ounce, which was $242 lower than the prior quarter. Together with the higher gold prices in the period, this resulted in a big lift in our AISC margin in the quarter to $831 per ounce. Given that we're on the numbers. I'll turn the presentation over to Scott McQueen, who will walk through the financial performance.
Scott McQueen: Thank you, Gerard, and hello, everyone. As Gerard mentioned, the solid group operational performance across the first quarter is highlighted by record quarterly production at Haile, the successful ramp-up of Didipio and 18% quarter-on-quarter reduction in all-in sustaining costs, all during a period of strong gold and copper prices, all of which underpinned a strong financial performance. This strong financial performance included record quarterly revenue of $286 million, record quarterly EBITDA of $158 million and an EBITDA margin of over 55%, along with an adjusted net profit after tax of nearly $82 million or $0.11 per share fully diluted as compared to analyst consensus of around $0.06 per share. Consistent with EBITDA, group cash flow also improved materially, with operating cash flow for the quarter of $144 million, up 32% on the previous quarter and over 200% over the same quarter in 2021. This equated to an adjusted cash flow per share after working capital movements of $0.22 per share fully diluted compared to analyst consensus of around $0.15 per share. But the most pleasing was the significant free cash flow generation of just over $63 million for the quarter, which reduced our net debt 29% relative to 31 December 2021. As noted, we also saw a significant quarter-on-quarter reduction in all-in sustaining costs of 29%, mainly driven by the record production at Haile and the full quarter contribution at Didipio, but also reflecting strong by-product credits, particularly copper. Partially offsetting these benefits was a weaker quarter at Waihi as well as input cost pressures, which primarily insisted of higher diesel costs which felt most our open pit operations at Haile and Macraes. On a group basis, the quarter-on-quarter jump in diesel prices added approximately $40 per ounce to our all-in sustaining cost. And so it will remain at current levels, we would expect this trend to continue over the coming quarters. We aren't sitting still on cost, and we continue to seek opportunities to combat inflationary pressure and secure certainty of supply. For example, we recently established a multiyear renewable energy supply agreement that provides energy cost certainty across all our New Zealand operations. At our other operations, we are accessing non-oil-dependent grid power. In some jurisdictions, we have enterprise agreements in place that provide more certainty over wage growth. And the weaker New Zealand dollar exchange rate over recent months has also dampened the overall inflationary impact across our New Zealand operations cost base in U.S. dollar terms. While these factors and agreements are included in our cost guidance and all 4 operations back up and running. We will continue to seek out opportunities to further improve productivity and reduce costs across the group. Moving on to Slide 6, a bit about our capital investments. Total capital investments for the quarter were 12% lower than the previous quarter and broadly in line with the first quarter of 2021. The quarter-on-quarter decrease was primarily driven by lower growth investment at Haile. Capitalized mining costs were mainly open pit waste movements at Haile and Macraes. At Haile, we were stripping the second phase of the Ledbetter and Haile pits, while at Macraes mining was focused in detail. We continue investing in the ramp-up of underground operations in New Zealand, both at Waihi with the Martha project, another underground. And then Macraes with Golden Point Underground. We do expect capital investments to increase over the course of the year, mainly related to the Haile Underground development. The commencement of the bulk of the spend is dependent on the receipt of the SEIS Final Record of Decision and related operating permits. Moving on to Slide 7, our balance sheet. As previously noted, in the first quarter, we generated approximately $63 million of free cash flow. And our net debt, inclusive of equipment leases decreased 29% as a result to $168 million. We closed the quarter with $195 million in cash and another $30 million available in undrawn credit facilities. Whilst our production cost and CapEx guidance for '22 remains unchanged, we do note that we expect the first quarter to be particularly strong and an anticipated reduction in grade profile, predominantly at Haile, combining with increased capital investments, as mentioned over the next 2 quarters means all other things being equal, free cash flow will not be as strong in the next 2 quarters. Naturally, production sales and metal prices will be the main drivers of the outcome. We have a healthy balance sheet. And depending on market and operating conditions, we are positioned to deliver strong free cash flow over the next few years. This strong balance sheet and free cash flow will underpin our ability to fund investment in high return value-accretive growth opportunities, including Haile Underground and the Wharekirauponga Underground Mines to further strengthen the balance sheet by continuing to reduce debt and to provide returns to shareholders. I will now hand the presentation over to Scott Sullivan to walk you through our first quarter operational performance.
Scott Sullivan: Thank you, Scott, and good morning, good evening, everyone. My apologies in advance, I have a slight cold, so if there's a pause every now and then it's just me hitting the mute button. So I'll start on Slide 8 to discuss the record quarter at Haile. Before I get into Haile's quarterly physicals and the continued operational improvement, I would like to take the opportunity to highlight the exemplary health and safety record operation. When I look back at Haile's [indiscernible] rating from a couple of years ago, the operation has come a very long way to significantly reduce its injury frequency. And as Gerard mentioned earlier, -- we will strive for a zero fatality, zero injury operating culture through felt leadership and a strategic focus on fatality prevention and injury prevention. Operationally, Haile continued to deliver strong quarterly performance including the first quarter of this year where it delivered a record 60,249 ounces of gold produced which was an increase of 42% quarter-on-quarter, mainly from increased mill feed, higher head grades, but also improved gold recoveries. First quarter site AISC was $1,070 per ounce sold with cash costs of $567 per ounce sold. Quarter-on-quarter, the 8% decrease in AISC reflects higher gold sales, partially offset by higher costs, particularly diesel. Ore mine for the quarter was 36% higher quarter-on-quarter, consistent with the mine sequence, but also reflecting a positive reconciliation on ore tonnes from the Haile open pit. And that was due to -- or the result of a debris-free oil basically found in areas of [indiscernible] originally believed to contain voids. So that was a bonus. Mill throughput was a marked improvement from a year ago when the operation was challenged by block crusher shoots. The changes around ore fragmentation in particular that David and his team have implemented has resulted in improved mill utilization and higher mill -- material throughput rates. Average load mill feed gold grade was 2.54 grams per tonne of gold, which was higher than the previous quarter due to material supply from Ledbetter Phase 1. Consistent with our plan, gold recoveries increased quarter-on-quarter because of higher head grade. Mining unit cost per tonne mined increased 14% quarter-on-quarter, reflecting the impact of higher fuel prices and labor costs as well as costs associated with unplanned maintenance. Processing unit cost per tonne milled increased 12% quarter-on-quarter due to planned shutdown for maintenance and an increase in reagent costs. And looking ahead for the remainder of the year, production is expected to be lower over the next 2 quarters, as we've mentioned and flagged in previous quarterlies, related to mine sequencing and lower grades, mined and processed before the grades continue to increase again in the fourth quarter. Haile's AISC profile is expected to reflect the production profile with higher AISC in second and third quarters before improving in the fourth quarter. Capital investments are also anticipated to be the highest through the third and fourth quarters based on the company receiving the SEIS and associated permits during the second quarter. Let's move on to Slide 9. We continue to await the final record of decision associated with the SEIS. We have strong broad-based support from stakeholders and engagement with the state regulator remains regular and very positive. We recently finalized an agreement with the conservation community in South Carolina to provide an agreed level of financial assurance to the state, and the agreement will also provide for the protection of ecologically sensitive land after mining has been completed. We still expect the final record of decision along with the associated permits to come through this quarter. And on a positive note, we received the National Pollution -- Pollutant Discharge Elimination System permit on April 22. This permit allows us to expand the water treatment plant and increase our water discharge rates to 3.5 million gallons per day, up from current 1.75 million gallons. This permit is not associated with the SEIS. We are currently, therefore in the process of expanding the water treatment plants and anticipate this to complete by year-end. We view this as a very substantial development, which will allow us to better manage water levels, thereby reducing operational risk and resulting in more efficient operations. Just moving on to Slide 10 into Didipio. So Didipio didn't [miss a beat] and delivered a very strong quarter and achieved full underground mining rate of 1.6 million tonnes per annum, 1 month earlier than budgeted. I will point out that before Didipio shut down in the third quarter of 2019. The operation peaked at 1.5 million tonnes per annum from underground. So we're now safely operating at the highest underground mine rates in the history of Didipio. And Didipio remains one of the safest operations in the mining industry as measured by its exceptionally low injury frequency rate. The site also recently passed 1,000 days free of lost time injury, which is an absolutely fantastic result. From a health perspective, we did see another wave of COVID-19 infections during the quarter. However, our strict protocols clearly helped contain any spread to the workforce. Didipio produced 29,446 ounces of gold and 3,510 tonnes of copper, representing the first full quarter of operations since the restart of production in November 2021. Its cash costs and AISC were $26 per ounce and $40 per ounce, respectively. Total movement in the first quarter was 48% higher than in the fourth quarter of 2021 and mining rates steadily increased during the quarter. I'll also point out that the company extracted the monzonite areas of the crown pillar from surface as a part of a project to further strengthen the crown pillar. This project was completed in February, and the ore source from these pillars was processed in the quarter. Ore mine from the crown strengthening pillar totaled 176,867 tonnes and ore mined from underground totaled 308,691 tonnes. The company does not anticipate any further surface extraction until the end of the mine life when mining of the remaining [crowning] pillar is planned. I would also like to highlight that Didipio's ramp-up and performance to date has been concluded with very modest capital spend. We're very pleased with the Didipio's performance, and we'll continue to seek ways to further enhance operations as we move forward. Looking ahead to the remainder of the year, gold production is expected to taper off slightly in the second quarter before maintaining previous levels for the remainder of the year, while copper production is expected to marginally increase before returning to previous quarterly production rates. Moving on to Slide 11 and Macraes. At Macraes, we saw the total injury frequency rate increase and a trend in that direction and further emphasis on instilling a stronger safety culture and leadership. The workplace senior leadership team continues to engage with the workforce to build on workplace hazard identification and injury prevention. Macraes' gold production was steady quarter-on-quarter with 37,588 ounces in the first quarter on higher head grade that was partially offset by lower mill feed and reduced gold recoveries. AISC and cash costs were $1,394 per ounce sold and $1,005 per ounce sold, respectively. And although unit cost decreased on the previous quarter, we continue to be slightly impacted by inflationary cost pressures, elevating the cost of the equipment and suppliers. Total mining movements in the first quarter were 6% lower than prior quarter on the elevated high oil movements at the Gay Tan Phase III mine, limiting mining activity and requiring mitigation measures to be implemented that which have been successful. Development rates at Golden Point Underground were lower than planned due to poor ground conditions while developing through the main fault zone requiring additional ground support, but by the end of the quarter, development rates were improving as development had transferred -- transversed through the fault. And as the main decline progresses deeper, ground conditions are expected to improve as constraining forces increase with depth and reducing spalling around active mining phases and the rock becomes more confident. Total mill feed was down slightly when compared to the previous quarter, primarily due to a high percentage in hard ore sourced from Deepdell Phase III impacting on our throughput rates. Mill feed grade was 1 gram per tonne gold, slightly higher than in the fourth quarter of 2021 while gold recovery during the quarter was impacted by a higher percentage of carbonaceous ore from Deepdell Phase III, which adversely impacted our carbon and leach recoveries. As mining and Deepdell progresses, the proportion of ore mines near the hanging wall contact will reduce and recovery is expected to normalize as a result. Moving on to Slide 12 in Waihi. At Waihi, the operation did not deliver to expectations, and I'll get to that detail shortly. From a safety standpoint, it was pleasing to see Waihi reduced its 12-month moving average total recordable injury frequency rate to 3 per million man hours worked from 6.2% last quarter and 10.5% in the first quarter of last year. Waihi produced 1,752 ounces of gold in the first quarter with production decreasing 43% quarter-on-quarter. Mining at Martha Underground since site commencement has been in areas of the resource with low resource definition, which are generally under-reconciled in both grade and terms. Reconciliation accounted for approximately half of the production underperformance during the quarter with poor ground conditions in parts of the ore body and reduced workforce availability due to COVID-19 isolations also contributing factors. Results from the accelerated grade control drilling program continued to update the resource models used for mine planning. Grade control drilling to support mining for the remainder of 2022 has been completed, and that required for 2023 is expected to be completed progressively across the second and third quarters of 2022. This accelerated program at Grade Trial Drilling is expected to better inform our detailed mine planning and design process allows us to optimize the stoping sequence and also reduce ore loss and deliver improved performance. Despite these challenges, we had encouraging results during the month of March. This resulted in the quarter's reconciliation of ore mine to reserve being 112% on tonnes, 80% on grade and 89% on metal, which is an improvement -- an improved reconciliation trend compared to the fourth quarter of 2021. And also going forward, we will continue to focus on development productivity and subject to COVID-19 workforce absenteeism reducing the company expects our overall productivity, including ore tonnes mined to drive improved mining rates in the coming months. With respect to the Waihi North project, we're preparing the lodgement of consent application, inclusive of Wharekirauponga as we continue to progress environmental assessments to near completion. We expect to formally lodge our consenting application inclusive of stakeholder feedback this quarter. The consenting process is on the critical path for first production. We're also continuing to advance technical studies along with the exploration efforts at Wharekirauponga, where we continue to increase mine resources despite minimal drilling due to impacts from weather. We have previously mentioned an expanded scope of work at Wharekirauponga and we will allocate additional capital to explore efforts going forward. The increased drilling is to accelerate resource expansion that will allow the company additional mine design opportunities to optimize the mine earning for its full production potential. I will now turn the presentation back over to Gerard. Thanks Gerard.
Gerard Bond : Well, thank you, Scott, and thanks to you, all the site leadership teams and the workforces of all our operations for such a strong start to the year. And it's that strong start, which underpins our ability to maintain our guidance range. Haile delivered a record quarterly result in the March quarter based on the grade profile that we expect, we expect lower quarterly production from Haile through the middle of the year before it returns to higher production in the fourth quarter. We will continue to pursue the final record of decision regarding the SEIS, and we are well engaged with the U.S. Army Corps of Engineers and other stakeholders in this process. At Didipio, we expect steady production for the remainder of the year, and we are tracking to the high end of the production range there. We'll also commence drilling proximal to the ore body as part of a target validation program aimed at resource expansion. In New Zealand, we expect steady production from Macraes for the remainder of the year. And as Scott covered after such a soft start to the year at Waihi, we expect production for the full year to be around the bottom end of its guidance range, and we will work to continue to derisk the near-term mine plan. And as Scott said, the results that we saw in March are very encouraging. For both operations in New Zealand, we'll continue to manage the risks associated with COVID-19. I'd like to close out this formal presentation by reiterating our focus to deliver long-term value to shareholders. As I have said at the onset of this presentation, I inherit a strong foundation from which to grow this business. but also recognize that we have plenty of opportunities for safely delivering near-term operational and financial improvement. Together with the Board and management team, I plan to drive accountability across the business, to ensure that the organization delivers on expectations and its full value potential. Specifically, that means we will work safely and responsibly, we will manage risks and execute on business plans in an operationally disciplined way. We look to optimize production and lower cost to maximize the generation of free cash flow and invest capital and use our exploration capability wisely to deliver profitable growth and attractive returns to shareholders. With the strengthening balance sheet, we are rapidly gaining the financial flexibility to deliver strong returns to our shareholders, and I look forward to meeting as many of you as possible over the coming months. Before I hand back to Sabina, I would like to acknowledge that today is Sam Pazuki's last day with OceanaGold after 10 years in the role that would have made him very familiar to all of you. I want to thank Sam for his dedication and delivery over that 10-year period, which was a very eventful one. I also, at a personal level, I want to thank him for the generosity of time that he's given me in these for insights and candid advice and obvious care for OceanaGold as part of my own boarding. So Sam, on behalf of the entire company, we wish you all the very best in the next stage of your career. And with that, I'll hand it over to Sabina.
Sabina Srubiski: Thank you, Gerard. I will turn over the logistics of the Q&A session to the operator.
Operator: [Operator Instructions] And your first question will be from Mike Parkin at National Bank.
Mike Parkin: Congrats on a good quarter. A couple of things just around the Waihi grade and tonnage reconciliation. Can you give us a bit of color on what you're seeing so far? Is it the variability in the ore shapes that are causing it to be not there? Or in terms of the grade, is there anything that you're picking up that suggests why you're kind of starting to get a little more comfortable with it, as you mentioned, kind of a decent March.
Gerard Bond : Scott. Do you want to take that one?
Scott Sullivan: Yes. Yes. Thanks, Gerard. No, I guess the first thing to note is that this ore body in entirety is a little bit different than what we've mined before. It's about roughly 70% secondary displays that we're mining. And about 30% of the primary veins, which are, for us, really mining around the old remnant of historic mining. So it is a bit different. And essentially, where we've gone into this ore body off a couple of exploration drives that were there -- it's just an area of lower certainty as we found out. So what we were finding is we were developing into the secondary displays and they just weren't presenting as our resource model had shown in terms of thickness and grade. So that's it, I guess, in a nutshell. We're seeing improvements now. As mentioned, we've got all of 2022 drilled out. with grade control drilling, which is closer spacing, it's giving us more certainty, and that means that as we update our mine designs, which we are progressively as we update the models, then we get basically more certainty in our schedules going forward. And I think we're seeing some of that improvement in March, and we expect to see that improvement as we go forward through the year.
Mike Parkin: Great. On terms -- switching over to Haile. With the cease permit, I know you guys had kind of indicated a second half expectation back when you gave your Q4, you're now saying for sure, Q -- well, maybe not for sure Q2, but you're saying Q2. What gives you confidence in getting it this quarter? Like what -- can you give us some color in terms of discussions in terms of the final people involved that require a signature stamp of approval to get it across the finish line.
Gerard Bond: Thanks, Mike. I'll take this one and then if either Scott or David want to color it in. Look, this is the first underground mine in South Carolina that's been developed. We have great engagement with the appropriate people. We're not going to name them on the call. They're doing their job. We respect the process. The engagement is good. Every question that they have answered -- we have asked, I should say we've been able to answer fulsomely. The information is there. And kind of like with the ever reducing number of questions and issues, that gives us the confidence that the decision is imminent. Along the way, as Scott mentioned, we had a really good parallel agreement reached with the conservation community there in South Carolina that gives us -- well, it gives the state and the environmental community comfort that we're going to do what we should be doing at the end of mine life. And in return for that, we've got an agreement from them not object to any of the -- or appeal any of the permits issued. So there are a lot of parallel processes underway that are kind of keeping us on the critical parts. The critical part is that final decision. And unless David's got any else he wants to add, I think we're just ever close and but remain confident. But there's nothing other than their internal process that is holding us up. David, anything else to add to that?
David Londono: You have [indiscernible] it out.
Mike Parkin: And then you mentioned you've got the permit in place to allow you to proceed with expanding the water treatment plant and kind of doubling your discharge rates. Just remind me again, that is -- that budget for that would be factored into the existing 2022 guidance, correct?
Gerard Bond: Correct.
Mike Parkin: Okay. Good. And then just last question. your mining costs at Haile for the open pit are up about $0.40 quarter-on-quarter. Is that mostly factors of inflation? Or is it also a bit of a combination of some kind of last-minute changes in mine plan required while you're waiting for the cease permit, and we could potentially see that kind of go the other way once that cease permits in hand.
Gerard Bond: Scott and David, do you want to take that?
Scott Sullivan: Yes. I think David is probably best to talk to that detail.
David Londono: Yes. The biggest impact is the cost of diesel. So it’s mostly inflationary pressures that we’re increasing the mining cost.
Operator: Next question will be from Ovais Habib at Scotiabank.
Ovais Habib: Really congrats on a strong quarter, especially at Haile. I also wanted to thank Sam as well as -- as well. He's been super helpful in me actually covering and understanding the OceanaGold operations. So thanks, Sam. I really appreciate it. Just a couple of questions from me. Number one, you started talking about some inflation at Haile in terms of diesel. Now in terms of your cost guidance, how much buffer have you added to incorporate cost inflation as well as COVID impacts? And are you seeing any of these impact in any specific operation more than others?
Gerard Bond: I'll have a go and then Scott McQueen can color in the details. As it relates to diesel costs, clearly, that's a global movement in the cost base there that's affecting everyone. But for us, it mainly affects our open pits, and we have -- so it's limited to a degree because we are doing a lot of underground mining and other places. And I think generally, overall, and Scott can tell me -- correct me if I'm wrong, but it is around 3% to 5% of our total cost base. So it's significant in percentage terms. And for those operations that have open pit operations, it's more significant for them on a site level. Offsetting that, of course, is we have, as Scott mentioned, particularly in New Zealand, the benefit of the weaker New Zealand dollar, lowering the domestic operating costs. COVID manifests itself in a different way. It's primarily absenteeism. And so you kind of don't see it through the cost base as much as you see it through the material movement, and we saw that at Haile in the period [of its peak]. The mine that we have here that's closest to Auckland, which has the highest population and the highest rate of propagation of COVID-19. So that's where we experience it with fewer operators to actually to move to it, and we're starting to see that a little bit at Macraes as well. So as it relates to the extent to which that buffer that we have in the guidance, Scott McQueen, I think you've got some numbers there.
Scott McQueen: Thanks, Gerard, and thanks, Ovais. Just I think Gerard has covered most of it, but just to round out the Haile and Macraes, as previously mentioned, is where we see the impact of the diesel most at the open pit operations where at our open pit operations, about 23% of our mining cost is diesel where if you look across to our underground operations, it's as low as 4%. So it clearly manifests itself at Haile and Macraes more, and that's already been addressed at Haile by David. And at Macraes, we saw a similar increase and probably a higher increase in absolute terms, but it's being a little bit offset Ovais, by a lower exchange rate, which gives us effective U.S. dollar coverage on the whole cost base in New Zealand, but it's sitting around that $0.66. We've taken into account our guidance at this point also.
Ovais Habib: Thanks for the color on that, guys. Just also just moving on to Haile and just a follow-up on Mike's question on the SEIS permit. Now we've talked about the permit delay that was expected in, I guess, Q1 and kind of moving into Q2. That's not expected to impact 2022 operations. Any sort of impacts you guys see in terms of this permit kind of having on 2023?
Gerard Bond: The longer it takes, the more likely it is going to impact on 2023, but let’s – we give guidance 1 year in advance. So let’s – that is a possibility. But we are – as we said before, we remain confident that we should get it in this quarter. And if we get earlier through this year than the risk of impacts on 2023 are lowered.
Operator: [Operator Instructions] And your next question will be from Reg Spencer at Canaccord.
Reg Spencer: Congrats on a very good quarter. It's fantastic to see Haile hitting its straps. My questions revolve mainly around sort of the high-level inflationary cost environment. Looking forward, how do you guys think about industry cost inflation. The round of quarterly reports that we've seen come out of a lot of the Australian producers in the last week or so is detail a very inflationary environment. What are you guys seeing? And how might that feed into medium- to longer-term OpEx and CapEx expectations?
Gerard Bond: Thanks, Reg. Look, it is a phenomenon that every mining company is facing globally. It's a global market for things such as cyanide emulsions reagents generally. And the inflation is manifesting both on just a general inflationary sense, but also from a supply disruption that we see -- that you would have seen from other companies' results, getting things out of China reports of blocking. And so the disruption -- and then when we get short of it, everyone starts to bid up the price of the things to short supply. Our strategies are to basically look forward and stand and make sure that we've got sufficient stocks of what we need. Basically, we're in the process of engaging with all of our suppliers to get the line of sight on the supply chain and be able to manage the flow of materials to sites, such that we're not caught short. We have contracts in place, of course, and some of the inflation impacts start to be felt on renewal. As Scott said, one of the biggest -- in fact, the 2 biggest costs bases that you have of course of labor and energy generally and a lot of our energy is in the form of contracted electricity provision. So that's a kind of a fixed lock as it were consistent with guidance on the electricity component of energy. We are exposed, of course, to the diesel crisis that we don't hedge diesel. We don't look to hedge them. And so we are and remain exposed on any further increase and of course, stand to benefit for any decrease. But the other thing we've just got to do is being very sensible and judicious in our use. And one of the great opportunities that when costs of our input materials go up is that you have to use them more sparingly, you'll be more careful in these. So there are a couple of things that we can do to help mitigate the risk. But overall, we are globally in every industry, entering an inflationary environment. The flip side is that, that typically tends to be good for the gold price. So on a bottom line impact, we have a good hedge.
Reg Spencer: Great. My last question is just around Didipio. Fantastic to see the project ramp up over such a short period of time. Can you give me an indication of what were the key drivers that were able to see that ramp up take place a lot quicker than was guided and/or than most of us might have expected.
Gerard Bond: Scott?
Scott Sullivan: Yes. Yes. Look, we always have to make assumptions about -- particularly in a ramp-up like this -- about our onboarding and training of labor and how many -- for example, how many of our original employees might need to get back. So that's probably one of the bigger drivers. We've had a pretty successful program. You do -- when a mine shuts down, you do lose people, they go elsewhere. But we've had a lot of success in getting back for employees, and I think probably slightly better than we anticipated, which has minimized our training needs. Productivity and knowledge were there. So that certainly benefited us. And guys just did a great job of, one, firstly, maintaining the plant through that 2-year period and into just scheduling the maintenance activities and testing activities that we needed to recommission the plant. It's just been exceptionally well planned and safely executed.
Reg Spencer: Excellent. No, it’s fantastic to see, so congratulations to you guys and the team on site because yes, it’s a great result. That’s all from me. I’ll pass it on. Thanks very much.
Operator: Next question will be from Farooq Hamed at Raymond James.
Farooq Hamed: And I just wanted to start my question by also actually first saying thanks to Sam. It's been very helpful during our time covering Oceana, and you will be missed, and good luck in your future endeavors. Getting on to the questions. My question is about Haile. You guys had 60,000 ounces thereabouts in the first quarter, which is roughly 40% of your annual guidance. Even if you kind of cut your first quarter production in half for the rest of the year on a quarterly basis, you'll still hit your guidance. So I guess my question is, how much of a grade decline or productivity decline are you expecting for Haile in Q2 and Q3? Or conversely, are you thinking that maybe that guidance and maintain that guidance is conservative at this point?
Gerard Bond: Well, look, I'll answer that first, but David can jump in if he need to add in any color. Haile is going basically exactly as we said it would go with our earlier profiles. We like to call it the smiley face profile. When you look at our production, and basically, it's grade driven. So we're on schedule in the pit. On the plan, if you like, with our sequencing and we know the grade is going to decrease basically. So it's proceeding as we expected. Grade will go down and our quarterly production will go down for the next 2 quarters and then it will pick up in the fourth quarter. As long as everything continues to run as good as it is, and David and the team are doing a lot of great work with productivity initiatives then we'll continue to have a strong year. And if and when we think that will increase our production beyond what we predicted, then we can reject the guidance. But for now, we think we'll produce in that guidance range.
Farooq Hamed: Okay. Sorry. And is there any other color you might be able to provide a little bit in terms of cadence? And what kind of delta we might see on the grade perspective, I mean, if you're expecting it to be in plan -- are we expecting, what kind of percentage or what kind of quantum of grade decline are we expecting in the next couple of quarters?
Gerard Bond: David, I'll hand over to you. I'll hand over to you there. If you've got an indication of what Q2 and Q3 grades are relative to what we produced in Q1.
David Londono: Yes. So I guess one of the reasons is that we we're going to be mining in Haile pit, which is a much lower grade, and they will also start in new pushbacks of new areas on Ledbetter pit and Mill Zone, which again, at the top of the pit, a lower grade than the [indiscernible] pit. So that's why the grade is going to be almost 60% of what we currently have in Ledbetter [indiscernible] pit. So we see a big reduction in Q2 and a further reduction in Q3, before we see an increase on Q4 once we start getting into the bottom on Mill Zone and then down in the [indiscernible] on and Ledbetter too.
Farooq Hamed: Okay. That's helpful. In the prepared remarks, Scott made a comment that you saw positive ore reconciliation in part of, I guess, would be the Ledbetter pit. I'm just wondering -- is that something that you see going forward in terms of how you've relooked at the mine that there's opportunities where what was, what you might see is or something that we might see as a positive surprise going forward? Or do you see that as really just a one-off in the first quarter.
David Londono: Okay. So in haile pit -- the Haile pit is where the old workings were. So we're mining through a very old tonnes. So we assume some areas with voids. So we're doing a much better mining sequence, and we're finding that we still have some ore in there. It's still a lower grade than in the [indiscernible] pit that we think we're going to continue seeing more ore tonnes in the Haile pits. So we see that positive reconciliation in ore tonnes, but they're going to be of the lower grade than we normally have.
Farooq Hamed: Okay. That's helpful. Last question for me is just related to the SEIS. I'm just wondering, are there other permits that are kind of like dominos that have to come after the SEIS that you were kind of already -- like we're planning that all of those permits would become -- would be coming in the first half of the year. And if you kind of get the SEIS towards the end of the second quarter that those permits could get pushed into 3Q and maybe change your timing. So is there kind of a knock-on effect even if the SEIS gets approved right at the end of the quarter?
David Londono: So what [indiscernible] we do is that it's going to trigger the mining permit to start the underground mining and then it's going to trigger the expansion of the PAG and storage areas. We don't have any other permits except for some small construction -- batch construction for the cement plants, but we see the pace of the concrete for the on the ground. But we don't see any other permits coming in at the end the end of this year. As we mentioned before, we got the PDS early this month that will help us start the construction of the water treatment plant. That was the only permit that we have ongoing with the SEIS.
Operator: [Operator Instructions]
Sabina Srubiski: This is Sabina here. I actually got a question from the webcast that I'll ask one here. This call is for Gerard. Congratulations on your appointment. While you have been aboard for less than a month, can you elaborate on your capital allocation priorities for OceanaGold, any potential dividends or share buybacks?
Gerard Bond: Sure. Look, one of my key focus areas is to safely and responsibly maximize the cash generation potential and delivery of this business. And we've had a great first quarter, and the cash flow has been there, and we've got a year to deliver. The balance sheet is strong, and we've got growth options. So as it relates to when we come to provide direct returns to shareholders, the Board like myself are very keen to return to paying dividends or affecting some form of capital return. The issue we have, of course, is we're in a strong position, but we would like to get a bit stronger. We have, as you heard, less production coming through from Haile in the coming 2 quarters. But I think everyone on this call and the market more broadly can be comfortable with that as soon as we get ourselves into a position of being able to, we will. We know it's a priority. Good businesses pay dividends. And we know that shareholders have been very patient and are keen to get the benefit of these high gold prices and production outcomes in the form of a return. So whether it be dividends or share buybacks, that's something that remains a future work for us to land on. But I can assure you that it is a priority that we are focused on and also with results like the ones that we had today, we're much closer to it than we've been for a while.
Sabina Srubiski: Thanks. There’s no more questions online.
Operator: And at this time, we have no other questions on the phone. Please proceed.
Gerard Bond : Thanks, operator. And look, thanks, everyone, for being on the call today, and a big call out to the – everyone in OceanaGold for such a strong first quarter, and I look forward to meeting as many of you who’ve been on the call today in the coming weeks and months ahead. And on behalf of everyone at OceanaGold, we appreciate you joining us today and wish you a pleasant rest of the day. Bye for now.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.